Operator: Good morning, and welcome to the CECO Environmental First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded.
 I would now like to turn the conference over to Steven Hooser, Investor Relations. Please go ahead. 
Steven Hooser: Thank you, Howard, and thank you for joining us for the CECO Environmental First Quarter 2024 Earnings Call. On the call with me today is Todd Gleason, Chief Executive Officer; and Peter Johansson, Chief Financial and Strategy Officer. 
 Before we begin, I'd like to note that we have provided a slide presentation to help guide our discussion. The call will be webcast along with our earnings presentation, which is on our website at cecoenviro.com. The presentation materials can be accessed through the Investor Relations section of the website. 
 I'd also like to caution investors regarding forward-looking statements. Any statements made in today's presentation that are not based on historical facts are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual results -- actual future results may differ materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in our SEC filings, including on Form 10-Q for the quarter ended March 31, 2024. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any forward-looking statements that we make here today, whether as a result of new information, future events or otherwise. 
 Today's presentation will also include references to certain non-GAAP financial measures. We provided the comparable GAAP and non-GAAP numbers in today's press release and provided non-GAAP reconciliations in the supplemental tables in the back of the slide deck. 
 And with that, I'd now like to turn the call over to Todd Gleason, Chief Executive Officer. Todd? 
Todd Gleason: Thanks, Steven, and to our audience, thank you for your interest and continued support. Please turn to Slide #3 as I will highlight some key takeaways related to our first quarter performance. As outlined in today's press release, we started 2024 by delivering a solid first quarter, which puts us in a strong position in terms of our full year outlook. Later, we will go through each of these financials in more detail, but let me touch on just a few of the highlights listed on this slide. 
 I am pleased that our backlog of approximately $390 million is back to near record levels. Our book-to-bill in the first quarter was driven by very good orders levels, which was in line with our expectations to start the year. First quarter sales and adjusted EBITDA were at record levels for a first quarter, so we feel good about how our top line and bottom line kicked off 2024. Importantly, the quarter was highlighted by record gross margins for any quarter, which we believe demonstrates our strategic progress to drive operational excellence programs and steadily advancing and further diversifying our overall portfolio. Lastly, our working capital performance was very strong, helping to dramatically improve our year-over-year free cash flow performance. 
 Now turning to sales. We exit Q1 with a record pipeline of sales pursuits, and we are excited about the breadth and balance of this pipeline, especially some important energy transition orders, which could be meaningful in 2024 and over the coming years. And while we didn't make any acquisitions in Q1, we were active with capital allocation. During the quarter, we opportunistically took advantage of some short-term price -- share price dislocations and bought back $3 million of CECO stock. We now have repurchased $15 million of stock since 2021, which leaves $10 million remaining on the stock buyback authorization that we announced in May of 2022. 
 Turning to M&A. Like I said, while we have not announced any transactions in a few quarters, we remain very pleased with the quality and activity of the M&A environment and the pipeline of strategic opportunities we continue to evaluate. We will continue to move forward with our M&A process and keep you posted. All in all, we feel great about our position and our ability to drive meaningful performance. And as always, I want to thank Team CECO for your customer focus, accountability and high performance. 
 Now turning to Slide #4. We will expand a little bit more on our financials. Let's start with orders, which came in at approximately $145 million, essentially flat with the same strong results we delivered to start 2023. These orders helped to drive the strong book-to-bill that I just mentioned, and sales were approximately $126 million, up 12% year-over-year. Q1 sales were modestly impacted by seasonal aspects related to fewer project days and project timing that accelerated some sales forward into Q4 of 2023 and delayed a little revenue recognition into Q2 of this year. 
 On a trailing 12-month basis, our sales are up 26%. We remain committed to very strong double-digit full year sales growth, and our near record backlog gives us a great visibility to upcoming periods of growth. Adjusted EBITDA of $13.2 million is the highest first quarter EBITDA result in company history, and our 10.5% EBITDA margins are up almost 200 basis points year-over-year. On a trailing 12-month basis, EBITDA is approximately $61 million, up 44%. Our adjusted EPS and free cash flow also reflects our ability to offset higher interest expense, tax items and working capital needs related to future growth. We are very pleased with these results, and they give us very solid confidence that we are in a great position to start 2024. 
 I will provide some additional commentary on our outlook for the full year after Peter provides further review of our financials. With that, I'll hand it over to Peter. 
Peter Johansson: Thank you, Todd. Good morning, everyone. I want to thank you for attending our earnings call today. As I provide additional color on CECO's financial performance in the first quarter, I will reinforce 2 key themes: first, CECO is starting the year on a very positive note; and second, CECO remains well positioned to achieve our objectives for the remainder of the year.
 Let's start this review by turning to Slide #6 to cover 3 key highlights during the quarter: backlog, gross profit, and EBITDA. On Slide 6, I'm highlighting these 3 financial metrics because they are solid indicators of our strong start and our overall positioning for the remainder of the year. Starting from the left of the page, backlog at quarter end closed at approximately $390 million, up 9% year-over-year and a $20 million from year-end 2023. This is a record level for any Q1 quarter end. As Todd highlighted earlier, rising backlog is a key indicator of future period growth and gives us great visibility to revenue for the next 9-or-so months. 
 Moving to the center of the page. Gross profit of $45 million delivered in the quarter, is up 29% year-over-year on higher volume and higher margins nearing the 36% level. Margins which are up 470 basis points from a year ago period and approximately 100 basis points above Q4 on a sequential basis, resulting from continued business and project mix improvements, operational excellence initiatives that are really starting to deliver for us. 
 And ending this page on the right side, adjusted EBITDA follows the same trajectory as gross profit, ending the quarter up 36% year-over-year, with margins expanding approximately 200 basis points. I want to remind all of you that these margins are after the investments we are making in our business in commercial and technical resources and updating our business systems, investments that we believe are important to continue to make and add key capabilities to our organization and to support sustainable growth. 
 Before I leave this page, I want to highlight that adjusted EPS is up $0.01 year-over-year as we overcame $0.06 of higher interest and tax expense was $0.17 of operational performance. Share count was a slight headwind to EPS in the quarter as well. 
 And -- would you please turn to Slide 7, so we'll take a look at orders. Orders for the quarter of $145 million were essentially flat year-over-year. They were balanced across industrial air, industrial water and energy transition. As Todd alluded, our first quarter of 2023 was also historically strong. Sequentially, we delivered an increase of almost $20 million as some orders that pushed into Q4 -- from Q4 into Q1 were booked in the quarter. On a TTM basis, orders increased year-over-year by $70 million to $582 million. We are pleased with the level of orders in Q1, which has the potential to be higher by $15 million to $20 million. However, these orders for which we have verbal confirmation and award took longer than anticipated to convert to a formal purchase order and have now been or will be realized in the second quarter. 
 Additionally, in the quarter, a number of incredibly exciting and large energy transition jobs, many in the power generation segment, took meaningful steps forward towards realization in Q2 and the second half of 2024, further underpinning our confidence in the full year outlook. In fact, April bookings were already off to a very strong pace and reinforce our view that Q2 will be very successful. 
 Please now turn to Slide 8 for some additional color on sales. Sales for the quarter of $126 million were a 12% increase over the same period in 2023 and a quarter 1 sales record for the company. Organic growth in the quarter was approximately 12%. On a TTM basis, sales increased year-over-year by $116 million to $559 million and is up sequentially by $15 million. Sales in the quarter reflect 21% of the full year sales outlook, which is the same as in Q1 2023 relative to what was achieved for the full year 2023. 
 This -- Q1 typically have fewer revenue days than either Q4 or Q2, which can be our largest quarters for revenue delivery. And in 2024, both the Chinese New Year and Ramadan fell into the first quarter, impacting our Asian and Middle Eastern locations and customer activities. 
 The reduction in revenue days helps to explain a portion of the sequential step down in sales. Todd highlighted some revenue recognition acceleration that pushed Q4 higher at the expense of Q1, and we experienced 2 projects with engineering release and approval delays, delays that have now been resolved so that the resulting revenue recognition will now occur in the second quarter. 
 I'll ask you now to turn to Slide 9, and we'll touch on backlog. CECO's backlog continues to remain at near record levels. CECO concluded Q1 2024 with backlog of $390 million, representing a 9% increase year-on-year, of which we expect at least 70% to convert to revenue in 2024. The record levels of backlog are persisting even after CECO delivered a record sales quarter in Q4 and in Q1, highlighting the strength of our opportunity to orders conversion. The strong book-to-bill with record sales in the quarter places us slightly ahead of 2023 and in a strong position relative to our full year outlook. 
 Now let's turn to Slide 10 for some additional discussion on margins. Starting with gross profit. Margins in the quarter were 35.7%, a record level, which gives us a lot of confidence that we are on the right path to meet our target of mid-teens EBITDA margin in 2025, 2026 period. Improvement year-over-year has been largely driven by improving mix with our short-cycle brands and acquired businesses contributing higher volumes. Improving project execution and improved book margins also contributed to this high mark. We are also starting to see the benefit of select sourcing and productivity initiatives across our operations and supply chains. We are in the early stages of these initiatives, but the initial results are very positive. 
 When I think about the sequential performance, I was pleased to see a further step-up of approximately 100 basis points in margin despite the lower sales volume. Short cycle mix versus prior quarter was a driver, accounting for about 25 basis points of the improvement. Favorable backlog margins from the acquired entities contributed approximately 25 basis points. And the benefit of a factory closure in China completed in December of last year, added another 50 basis points in the quarter. 
 On a TTM basis, gross profit of $181 million is up approximately 33% with margins increasing by 150 basis points to 32.4%. This level is almost back to historical margin levels and on track to our internal targets, supporting our long-term target of mid-teens EBITDA margin by 2025, 2026. 
 Moving to adjusted EBITDA. Q1 2024 delivered $13.2 million, a record for any quarter 1 benefiting from record sales in the first quarter with margins expanding appropriately, about 200 basis points to 10.5%. EBITDA drop through on higher sales was partially offset by seasonally higher G&A expenses, which included our inaugural global leadership meeting held in Dallas, an investment in a commercial excellence project with a leading consulting firm and the launch of our global sourcing and productivity initiatives. 
 Other items impacting EBITDA in the quarter were the absence of a favorable nonrecurring benefit from a customer settlement in 2023 and the addition of the G&A expenses from Transcend and Kemco, businesses acquired in 2023, which were not part of CECO in the first quarter last year. 
 On a TTM basis, adjusted EBITDA of $61 million is up 44% with margins increasing by 140 basis points to 11% and well on track to our internal targets, supporting our target, again, of mid-teens EBITDA in the 2025, 2026 time frame. 
 Now let's move to Slide 11, and I'll quickly review our cash position and liquidity. CECO finished the quarter with gross debt of $131 million, lower by $2 million from year-end 2023. Net debt of $84 million was higher by $6 million from the year-end period, and our leverage ratio of 1.4x was unchanged from year-end. Net debt was lower by $15 million or 15% from the year ago ending quarter with our net debt-to-EBITDA ratio of 1.4, a full point -- a full turn lower than year-over-year and well below our max allowable levels. 
 Our capacity increased sequentially by $2 million to approximately $119 million, which fully covers our planned expenditures and investments for full year 2024. Regarding our cash position. CECO ended the quarter with $40 million in global cash, a decrease of $8 million from year-end 2023 and an increase of $5 million from the year ago period. Cash from operations driven by strong working capital management was $2 million -- was approximately $2 million for the quarter and up $13 million year-over-year. Very strong performance, which offset our seasonal first quarter cash obligations. In the quarter, we funded CapEx investments of approximately $3 million for growth and business system and IT upgrades, executed a $3 million stock buyback and made $3 million in debt reduction payments. 
 Now let's please turn to Slide 12 for a brief update on our capital deployment strategy. I would like to take this opportunity to revisit with you our approach when it comes to capital allocation. Stepping back for a moment when the CECO transformation began, Todd stated that we would be very thoughtful and intentional about capital allocation, initially investing in organic growth and enhanced business capabilities, creating the capacity and processes to sustain growth. 
 Once we were comfortable with the organic growth trajectory, we will begin to layer in acquisitions to complement the organic results and to advance our leadership in industrial air, build leadership in industrial water and maintain leadership and energy transition. And finally, if the economics were attractive, we would consider stock buybacks as an additional lever to create shareholder value.
 As I assess our results over the past 3-plus years, I can confidently state that we have executed on our priorities and delivered on the strategy we laid out and feel confident stating we will continue down this path adding further to our leadership positions while potentially creating new ones, all while creating shareholder value and making good on our promise to protect the environment, protect the employees that work in our customers' facilities and protect our customers' industrial equipment and produce -- improve their environmental outcomes.
 I want to now highlight some of the accomplishments starting at the 12:00 position of the wheel shown on the left side of the page. Starting in 2021, we have invested over $25 million into growth resources and programs to drive core organic growth and to upgrade our commercial and operational processes, including expanding our commercial and project teams globally. These investments include the addition of talented sales engineering and project execution resources across our global footprint and in targeted product and technology innovations. 
 Continuing to the 3:00 position. We have been steadily increasing our spend on targeted and high leverage, high-impact capital expenditures to support our current and planned growth and to improve our global business tools and systems. We concluded 2023 with an investment level 2x that of 2020 to support capacity expansions in our Dean and Fybroc pump and Wakefield Acoustics locations and to kick off our company-wide ERP consolidation initiative. 
 We are planning a further increase in 2024 as we extend our ERP consolidations and migrations globally. Further strengthen our cybersecurity defenses, launch and scale our sourcing and productivity initiatives, and upgrade and expand facilities of recently acquired businesses. 
 Continuing around the wheel to the 6:00 position, we arrive at the M&A value creation lever. We have been selective and programmatic with our M&A efforts, executing 9 transactions over the past 3-plus years. Transactions tightly aligned with our playbook, paying an EV to EBITDA multiple in the 6 to 7x range on a trailing basis. 
 Our deployment has been balanced across industrial air, industrial water and energy transition with a focus on complementary assets that support our advance, build, maintain strategy. Whilst we have not announced the deal over the past 2 quarters, I can assure you our pipeline is very active, and we are well advanced with a number of attractive opportunities, which I believe can close in the second half of the year. With approximately $100 million of available capacity, we are comfortable that we can fund the organic and M&A capital plan for 2024 and still retain a comfortable cash cushion. 
 And finally, moving to the 9:00 position. I will briefly comment on stock buybacks, our remaining deployment option. With the $3 million purchase executed in the first quarter, since 2021, we have repurchased $15 million of stock at an average price of $8.20 per share, approximately 70% below the current market value, leaving $10 million on our current authorization. While we are not expecting to execute the remaining balance in company quarters, we will continue to be opportunistic and step in as we did in Q1 when we identify a short-term share price dislocation. 
 That concludes my summary of CECO's first quarter 2024 financial results. A high-quality start with strong momentum heading into the second quarter and setting the table for a strong remaining 2024. And now back over to Todd to take you through some additional commentary on our outlook and his concluding remarks. Todd? 
Todd Gleason: Thanks, Peter. A lot of good details with respect to our financials and insights into our performance, including the most recent slide there regarding capital allocation. Thank you. 
 We're going to go to the final section and then our summary slide. Please turn to Slide #14. As a reminder, we initiated our full year 2024 guidance back in November of last year. We increased our guidance just a little over a month ago when we provided our Q4 2023 earnings. Today, we are maintaining our full year 2024 guidance, which we believe represents a strong overall outlook. That said, as we have mentioned several times today and in our press release this morning, we do see areas that could produce additional upside to our annual outlook. Of course, even with our growing and well-diversified portfolio, we remain conservative to some extent to better balance potential macro and end market issues that could arise, supply chain challenges, et cetera. 
 We have high confidence in our near-record backlog as we enter Q2 as well as the largest ever sales pursuit pipeline, which includes the aforementioned mega energy transition programs. We feel we are well positioned not only for these energy transition programs, but for some additional large industrial air and industrial water opportunities, including jobs driven by the data center hyperscale build-out. 
 Additionally, we have a very strong balance sheet, and as Peter just mentioned, a robust M&A pipeline. So we look forward to providing any updates to our outlook as we move forward throughout the quarter and the year. 
 Now please turn to Slide 15, which is our last slide. In summary, CECO had a high quality start to the year. We are reaffirming our guidance while signaling potential upside. We are proud of the financial results in Q1, especially when looking at the record gross margins, which show the ongoing progress we are delivering with respect to operational excellence. We look forward to providing updates on our large order opportunities throughout the year. And we love the balance our sales pipeline has across industrial air, industrial water and energy transition as well as our geographic balance. We remain committed to steadily transforming CECO into a high-performance company that delivers outstanding shareholder value. 
 And with that, I'll now open it up to questions, and then I'll wrap up with just a couple of concluding remarks. Operator? 
Operator: [Operator Instructions] Our first question or comment comes from the line of Aaron Spychalla from Craig-Hallum Capital Group. 
Aaron Spychalla: First for me, on the energy transition order opportunities, can you give a little more detail on what's driving that? How big some of those order opportunities could be? And then saw the EPA emissions rules here recently. Just wanted to kind of better understand how that might be a driver for your business. 
Todd Gleason: Yes. Thanks, Aaron. This is Todd, and I'll start with a few comments especially as it relates to the energy transition orders, and then I'll hand it over to Peter, who can add his additional color to that, and then we'll make sure we get a good answer on the EPA topic as well.
 So number one, on energy trends, but in no particular order, I would say there's a huge known headline driver with respect to power globally. So there is a mega investment that has started to upgrade or to add new power capabilities globally. So if it's in the North America, you're looking at new investments in the grid and in power supply, backup power for wind and solar. But also, I think, a continuation of conversion from hole to natural gas, headlines are all over in that regard. And we've always been well positioned to serve that transition in energy. And we'd like where that is building. 
 We may be seeing some of the larger opportunities we've seen in a long time, if ever. Some of these jobs are well north of $20 million, $30 million, $40 million. And a few could potentially be a multiple of that even. But again, we're in the early phase of some of these, and we're in the advanced phase of others. 
 Now it's not just power or if it is power, it's not just what people think of oftentimes is power. As I already mentioned, with backup power and data centers, there's a significant opportunity that we are maximizing throughout the U.K. and potentially Europe, as those data centers are built in more urban areas. So backup power has to have noise attenuation and management solutions that we're in prime position for with Wakefield, an acquisition we made about 15 months ago and doing quite well. 
 And our geothermal and carbon capture are also energy themes that are growing in terms of we see order opportunities. I might even suggest that we're more active now in nuclear than we were years ago. So frankly, it's a pretty large array of energy transition. It's a basket, I would say, of energy transition opportunities. But the mega theme is probably still centering around the power topic. Peter, you want to add to that? 
Peter Johansson: Sure. Aaron and for the rest of us gathered here today, it's all about energy. Nothing happens if an electron isn't flowing or a fuel source isn't provided to some form of power generation. We're in a very interesting inflection point. We have hit an inflection point after about 10 years of flat global demand. Every major region is now experiencing substantial growth in demand. There's a lot of drivers. They all are converging and there's limited numbers of company that can help deliver not only that power but deliver that power and that energy the clean way, and we're one of those companies.
 And that will lead into my remark on EPA. What the EPA is doing isn't new. What the EPA is doing actually isn't a surprise. What the EPA is doing is just codifying the thinking over the last many, many years, as they've now seen supply chains and technology catch up with their aspirations to eliminate the most polluting form of power generation. They just put a stake in the ground. We're prepared for it. Our customers are prepared for it. It's going to be an exciting ride. It won't be a linear climb, but it's going to be very interesting. 
 The big beneficiary is going to be, in this regard, not just renewables, it's going to be nuclear and other forms of what we might have thought of historically out of date energy. Hydro and geothermal are going to see renewed interest because it's about the entire mix. So although the EPA is signaling, coal is their target. What they're essentially signaling is our energy mix has to change. 
Aaron Spychalla: Understood. Great color. And then just maybe second on the margin performance. Great progress there. I appreciate the commentary. It sounds like that was pretty balanced across operational initiatives. Just wanted to understand more. It sounds like that's sustainable and just how you're thinking margins kind of progress from here as we look towards the rest of the year. 
Todd Gleason: Yes. We like our sustainable margin expansion story, so I'm going to use the word sustainable. That said, let me back up for just a second. The roughly 35.7% gross margins in the quarter did have some in the period modest benefits just in terms of mix and some good execution, of course, but also timing associated with that execution. And if you sort of remove those or normalize that, I would say, because they weren't one-timers, but they were beneficial in the period events. If you normalize for that, our margins -- our gross margins and on a run rate basis, kind of coming out of the first quarter are 50 to 100 basis points more normalized lower than that. Still great, right? Would still be probably certainly near record gross margin levels. 
 Now with that said, we've been talking about for a long period, over a year, that we anticipate there's going to be a bit of a breakout here for us on some of the margin side. The work we've been doing on our supply chain excellence and operating excellence, quality, lean, et cetera, paying off. The work that we've done to improve our portfolio, both with M&A as well as introducing new products in more efficient regions, paying off. Our growth internationally, which is now, we think, very stable and growing is paying off. 
 So again, we -- I'll just go back to -- we're not a quarterly company. We believe in annual guidance, we believe in a multiyear outlook. I just really feel like this continues to confirm we're well on the path to that mid-teens EBITDA margin over the next few years. 
Operator: Our next question or comment comes from the line of Rob Brown from Lake Street Capital Markets. 
Robert Brown: Just wanted to follow up again on the sales pipeline, I guess, the large order activity around the air area and the DC -- data center area. Maybe just some color on kind of what's in that pipeline and what do you see there. 
Todd Gleason: Yes. Well, on the air side, we -- our teams have continued to just do a great job of balance, diversifying across a blend of industries. That isn't stopping. We have -- quarter-to-quarter, it ebbs and flows a little bit. You win a handful of jobs, sometimes even faster than we anticipate. And then you have a little bit of a lull as you replenish that pipeline. But Industrial Air, it really represents the continued strength of investments across a number of different industries. 
 And I know that there are times when things accelerate, like in semiconductor, for example, and then they slow down and now they're maybe picking back up again. You're seeing a lot of news talking about fabrication plants that are going to be winning new government contracts for capital to be starting those build-outs. We're involved in those discussions, for example, but infrastructure and even the energy and sustainable energy side, if you think about Industrial Air, as you're making the components for solar and wind energy infrastructure, that is industry. 
 And so from Industrial Air, it isn't 1 or 2 or 3 industries per se. It's a real balanced set. Same with industrial water. Very global now and with our industrial water capabilities. Not just because of the acquisition of DS21 and other businesses, but just the organic growth that we've done in the Middle East and other regions has added just huge pipeline of industrial water capabilities. And we're becoming well known now in industrial water. We're findable, so to speak, as companies are looking to partners to help them with their expansion. And of course, the more recent acquisitions of Compass and Kemco have really also opened up big, big markets and a variety of different applications that we're investing organically to help those businesses grow. And we have strong leadership teams there that are excited about organic and potentially inorganic growth as we continue to invest in industrial water. 
 And then look, energy transition, as Peter said, probably the most exciting energy pipeline that we've had in my almost 4 years now at CECO. And I would say almost across the board, whether you're talking about legacy energy, the applications around power, around natural gas pipeline and infrastructure, solar -- or excuse me, all the renewables, as we already talked about. It's a big pipeline in terms of energy and probably -- certainly the largest it's been since I've been here. 
Robert Brown: Okay. Great. And then on the kind of long-term targets of mid-teens EBITDA sort of from here, you had great results in the quarter. But going from here, what are the main drivers to go? Is it mostly operating leverage from here? Or do you see more gross margin expansion as well? 
Todd Gleason: Well, I think we're going to see gross margin expansion year-on-year, just like we did in the first quarter. And so maintaining -- if we can maintain quarterly strong gross margins, we anticipate that. Like I said, Q1 might have had a slight in the period benefit, but that doesn't mean that it was a temporary gross margin expansion. So we like our gross margins expanding. Certainly, our sales volumes are going to be up year-over-year and sequentially as we go from Q1 to Q2, as we mentioned, a few jobs, the timing of which. And Q2 is just a larger more, I guess, a bigger work quarter period globally. So we're going to see volume conversion on the SG&A line as well. So I think you're going to see balanced gross margins year-over-year expansion. 
 And really good balanced volume leverage on SG&A below gross margin. And those 2 are going to be consistent over the next few years. You're going to see that growth translating into EBITDA margin expansion. You're going to see better mix and operating excellence translate into higher gross margins. The combination of those 2 gets you to the -- we'll get to -- we got to get to 12% first for a full year and then 13% and 14%. But I think it's a bit of a stair-step motion that we're anticipating. 
Peter Johansson: If you think about sequential TTM progress, we continue to see somewhere between 50 and 100 basis points sequentially improving. We would expect to see gross margins improving up to the -- that -- of the mid-30s over the next 8 quarters. It's not going to be a step up and then a flat line. We -- that's the kind of the results you expect as you're transforming improving processes and you're going through some -- as you're rolling out waves of improvement across an organization, look to the -- I would point you to a chart we used 1 or 2 earnings calls ago, we showed the components of the margin expansion. 
 What we're really talking about here are the things we're doing in operations to really get that gross margin level solidified. So we get the full benefit of volume on the G&A flow-through and the portfolio changes. So this is just -- we're working in 3 dimensions, if you will, on getting to the mid-teens EBITDA. It's not just gross margin. Gross margin is an important component. But once we get to a, I'll call it, a plateau in the mid-30s, we'll see other areas of improvement rapidly catch up. 
Operator: Our next question or comment comes from the line of Gerry Sweeney from ROTH. 
Gerard Sweeney: Just a question on the markets. Obviously, you're very excited about pipeline, order book, et cetera. Are you seeing strength across the board? Are there any other weaker areas? Or I think even more importantly, are there some areas that are even turning around where maybe you could see additional strength as we go through the year into next year? 
Todd Gleason: Yes. Look, it's a good question, Gerry. So look, for us, I'd say we certainly have seen -- we see cycles, right? So because we're so diversified at industrial layer, we've used this example many times with investors. A few years ago, I think it was 2021, aluminum bev can is a market that's important to us in one of our product categories. And it was a great year. Maybe still a benefit from a lot of people being at home and having aluminum canned beverages at their fingertips more often. And so there was a capital expansion associated with that. And then the very next year, that cycle kind of turned over, and it was a weaker market because of that. I wouldn't have said a lot of that publicly because in a way, we understood that it was a temporary capital infusion in that industry and then a reset the following year. 
 Ironically, in 2022, we saw a recovery in a lot of metals. Aluminum was a good example, where in 2020 and 2021, those industries have slowed down in large part because no one was making claims because of COVID travel restrictions, et cetera. And then we saw a recovery. So in industry, I would say, we've seen some pockets of strength from a year ago that have slowed down but are now picking back up, could be EV and battery and semiconductor, as I said. They're very kind of short-term cyclical ebbs and flows in those industries. 
 But overall, I think we would still say our demand for general industrial remains very balanced. And I know that there's a lot of out there. We look at them, too, that are the ISMs and the PMIs, et cetera, that point to some interesting areas of sort of strength and weaknesses in industrial, but we're not seeing a lot of weakness, frankly. We're seeing a lot of consistency and -- but we are seeing cycles come up and down. 
 But in energy, look, I think 10 years ago, CECO probably would have seen visibility to a similar energy market. But it's been a long time since we've seen the types of inquiries balanced across a lot of the energy markets that we're seeing. And that's both legacy energy that I think we use that term. I'm sure we're not the only ones that are using the term. When people think of upstream, downstream, midstream, et cetera, that legacy energy, we like that there's still a significant investment that has to occur in those spaces for a variety of reasons to maintain energy production for a lot of end markets, not just for energy consumption. But now we're talking about a lot of new energy and new energy transitions, very, very, very rich. 
Gerard Sweeney: Got it. How -- I mean, obviously, AI, I mean, it's permeating through everything, a lot of different industries. But it feels as though just on the energy generation front, we're probably in the early innings. How long are these energy uptick cycles? 
Todd Gleason: So we went into our AI app this morning, and we asked AI, how long AI was going to be here, and it said, I'm here to stay. So it turns out AI feels pretty strongly that it isn't going anywhere. We'll see what that means. Jokes aside, Gerry. Look, these cycles in energy are -- they're not head fakes and they're not sure. 
Gerard Sweeney: No, not at all. 
Todd Gleason: Does This mean we have an 8-year cycle? Not my game to play, right? I would say we're in a relatively early innings of a multiyear investment phase. 
Peter Johansson: The signposts we're seeing is quadrupling of demand by 2032. That means in order to have, from AI, the amount of gigawatt supplying data centers. That doesn't include crypto. It doesn't include manufacturing. It does include charging electric cars. It does include electrifying industrial processes. Just from the data center demand, it's a quadrupling of current gigawatts to 2, 3 gigawatts. 
 It takes anywhere from 24 to 48 months to get through a design, build permit and install process, depending on what you select to put in. So back down from the 5 years, at least, 6 years of what we're seeing today, not including what else is out there. But if you believe your future is electrically powered, you would have -- you would be favorably disposed. 
Todd Gleason: Gerry, we've all been around long enough to know that at times, things aren't going to be as strong as they appear and they're also not going to be as bad as they appear. Our game here is to play it where we don't want to overinvest to chase a theme. We want to be well positioned to benefit and to support the theme without necessarily overextending ourselves on it, right? So as we think organically and inorganically, our view is these are cycles, some are going to be as high and as strong as they appear, some will not. And some will be very  fast moving. There could be new regulations could be new entrants, could be a variety of things. So for us, it's playing the balance right. We're not going to get it all right, but we're going to try our best to play that balance out. 
Gerard Sweeney: Got it. Totally fair. I really appreciate the depth. Just one other quick question. Cash flow 1Q was much better than last year. I know you're generally stronger cash flow as you go through the year. Should we -- should this sort of Q1 imply just improving cash flow in terms of metrics... 
Todd Gleason: Well, I think Q1 implies that we're continuing to work very well at working capital management. The finance teams, the business teams are -- they're all over it. We focus on it better, more sustainably, it's not just once a year for a quarter that we bang away at it. So we have better processes. We have better incentives around it as well. So we like it. we like the results. I think it speaks to the poor start we had last year more, Gerry, than it was the great start we had this year. So the good news is we're just better each year. 
Operator: Our next question or comment comes from the line of Jim Ricchiuti from Needham & Company. 
Chris Grenga: This is actually Chris Grenga on for Jim. When looking at the sales pipeline, which is quite healthy, are you able to characterize even at a high level the nature of the pipeline between whether it's discretionary growth type projects that your customers are looking at versus projects that are more mandated by regulation? 
Todd Gleason: Yes, it's a good question, Chris, and thanks for jumping into ask a question for you and for Jim or other questions, too. Like, I don't have that at my fingertips, I would say. What's important is, and in no particular order of importance, our $3.5 billion or so pipeline is up well over 2x from where it was just 3, 4 years ago. So it's a very big balanced pipeline. A lot of that still does have to do with the fact that we have a large installed base, great relationship with customers. So they're constantly coming to us to talk about replacing very high-performing, but aged equipment out there in the marketplace. We have more aftermarket and services as well that we've ever had. So there's a blend of that that's in our backlog as well. 
 And I would say very little of what we do feels super discretionary out there to the customer. So these aren't -- these are usually fairly medium- to long-term projects that they've been looking at, the priority in their capital allocation budgets. We've been in regular dialogue. Rarely does a very large, well over $1 million project come to us, quickly. We've been -- we've known about it for 3, 6, 9, 12 months. These energy transition jobs, we've known about already, if not all of them, most of them for well over a year, been working with the customers. 
 These things are engineering design studies that we've either done or we've qualified. We're on the approved vendor list, so to speak, which is very hard to become a member of that club. And so I think we're looking at a really balanced -- it's not because of one area of the bamboos, shoots of growth or something. It isn't because there's this huge capital infusion in new greenfield projects, it's pretty balanced. 
Chris Grenga: Perfect. Great. And in the past, you've spoken about CECO's involvement with the B-21 radar program, for example. And we're seeing some signs that we could be in the early innings of significant ramp in investment in the defense industrial base here and in Europe. Just curious if you -- from your point of view, are you seeing any early indications, any potential tailwinds for defense-related applications from where you stand? 
Todd Gleason: Yes. We participate more on like naval destroyers,; different classes of naval ships and destroyer classes, DDG, FFGs, things of that nature. And we are seeing a good pipeline there. It is a really balanced pipeline. Our separation filtration business as well as some of our other product portfolios with respect to silencers, et cetera, we would say well positioned, looking good and certainly an uptick year-over-year. And back in 2020, 2021, there was also a strong defense budget for some of those categories, but we haven't seen it as strong as we're currently seeing it in some time. 
Operator: Our next question or comment comes from the line of Bobby Brooks from Northern Capital Markets. 
Robert Brooks: So just following up on the potential record size energy transition opportunities. I just want to confirm, I know in the slides, you mentioned I think you framed it at $120 million. Is that those large deals or potential record-breaking energy transition deals? And the follow-up is, are those almost certainly a 2025 impact on revenue? Or is there any chance that those could kind of impact the fourth quarter of 2024? 
Todd Gleason: It would be a modest impact to the fourth quarter. There's some percent of complete revenue that we might receive from potentially some designs being accepted, which signifies our ability to start to go and order materials and contract contractors, et cetera. So there is some upside potentially to revenue. We're really talking about orders. So Bobby, it's a good question, and I want to be clear on that. 
 For us -- I'll exaggerate to make a point. If we had a mega -- if we had a $100 million order in August, we're not going to get a lot of that revenue probably in 2024. We -- like I said, we might get some with respect to the first "milestone" of the project, we could be engineering acceptance and things of that nature because we would be spending some money, as you can imagine. So there would be a percent of that overall project that would be associated with that first wave of execution. But beyond that, yes, we're really talking about 2025. And that will help us shape our outlook for 2025. Again, I'm a luckiest CEO in the world. I have a balance, a great team and -- across the board, all of our employees, but a balance of long-term visibility and backlog and I think a growing sustainable and repeatable short-term and aftermarket pipeline and portfolio that's also building. 
 So I'm one of the few CEOs that can almost start to look at 2025 and do not only modeling of what that short term could look like with the right market dynamics and investment, but also truly have a backlog that I can model with a high degree of accuracy and start to think about what that could look like for 2025. So we have a lot of work to do to make 2024 the success that we want it to be. But these orders would put us in great position for 2025.
 Here's our CFO. The CFO wants to talk about how lucky he is. 
Peter Johansson: These are the same projects that we have discussed in the past. We're just getting -- they're coming more into focus, and they're not just in the U.S. We're seeing renewed and accelerating interest in other geographies where they're addressing the same concerns around clean power as we are here. 
Robert Brooks: Got it. That's terrific color. And then maybe just diving a little bit more into that -- the comment that Todd just gave about building out the -- having a growing short-term aftermarket pipeline. Could you just maybe give a little bit more color on that of how guys have been building that? Is that just the installed base growing? Or has it been for specific M&A that you guys have done and that's been growing it? Or is it just a cycle thing where the filters that you guys are installing are needing to get that replaced from the one that you did in 2021 or something -- or some dynamic like that? 
Todd Gleason: Yes. Yes. It's all, I would call it, methodical short-term progress. Sort of like as they say, getting first downs are important to move them all down the field. That's what we've been doing with our -- adding our short cycle or more shorter-term revenue, aftermarket services, replacements. So take the Transcend acquisition for almost exactly a year ago. 40-ish percent of their revenue is aftermarket filter media, right? So that's an uptick in terms of revenue mix for us as a company. But the acquisition of Transcend, when you're now a $550 million company, you make an acquisition of a $12 million, $13 million, $14 million company when we acquired them, that's a first down now, right? Because it's a smaller piece of our portfolio, but a really strategic and important one. 
 Now the things that we're doing with Transcend and with other areas that have similar dynamics like industrial water, that has been a more M&A play for us, whether it be Compass or Kemco, strong aftermarket components associated with each of those. And the organic investment that we made in Industrial Water since I've arrived has also produced some of the largest aftermarket projects in our company's history, including the one we mentioned last year, which was a $9 million order for aftermarket services, which is a 2-year revenue cycle associated with that $9 million order. So all of these are somewhat larger first downs, some are smaller first downs, but it's really about us just continuing to build out that balance methodically. 
Robert Brooks: Got it. That's terrific color. And maybe just to ask a last one here on your last comments in the prepared remarks about the jobs being spurred by the data center build-out, that's really -- just to confirm, that's still really a European U.K. opportunity with the Acoustics piece for making sure the power generation is quiet in those urban communities. Or is there any opportunity -- or is that like a more broader opportunity where you might see some industrial air and water revenues from that? 
Peter Johansson: Today, the most direct benefit is in our U.K. business in packaging gen sets for data centers and, as to point out, in urban areas in the U.K. and Ireland. We're evaluating opportunities to do that same work for the same customers in the U.S. as they -- their demand grows and they're outgrowing their supplier base. They view us as a potential supplier, so we're evaluating that opportunity here domestically. But there are other benefits to CECO from the data center buildout, this overall power supply. Baseload power is growing a lot of these investments in large gas turbine-fired power are as a direct result of data center growth. And so we're benefiting from that dimension, that dynamic. There's also a data center demand for water. We consume a lot of water. You got to treat a lot of water once it's consumed. We've seen some inquiries there as well, not necessarily in the U.S., but we've seen that outside the U.S. as the Middle East and Asia are beginning to invest in their own infrastructure. 
 And then dare I say, 2 steps away, you've got to produce the semiconductors that go into the servers, they're going to the data centers. Any one of those semiconductor fab facilities requires what we build. Whether it's a scrubber, whether it's produced a produced water treatment or it's ultra-pure water supply or silencing on power systems at the facilities. So you can think about it in multiple dimensions, and investment in a data center impacts us multiple places. 
Robert Brooks: Got it. That's terrific. Definitely a lot of prongs. It's propelling you guys' growth going forward. 
Operator: Our next question or comment comes from the line of Amit Dayal from H.C. Wainwright. 
Amit Dayal: Just with respect to the outlook for 2024. Is there any one particular quarter where you could see a larger portion of that outlook coming through for you guys? Just want to understand the cadence for the rest of the year with respect to how revenues might play out. 
Todd Gleason: Yes, I'll let Peter kind of maybe give a little bit more color on how we kind of are looking at our internal cadence. 
 Look, we always knew Q1 was going to be the smaller from the quarters materially, just in terms of the things we mentioned already on the call, just with respect to it's almost always our smallest quarter. We knew the project timing coming into the quarter was going to be a little bit lighter as well. And look, I would say a fairly nice step-up in Q2. 
 Sometimes, Q3 can be a challenging quarter. But actually, this year, it's going to be relatively consistent a little bit with Q2, within the range of Q2 sort of overall. And then Q4 just historically has been our stronger quarter. I think we'll have a little bit more color as we exit the second quarter in terms of how we're looking at the second half of the year, at which point we'll probably give any color and updates on that thinking. 
 But if you're looking at your models and you sort of are saying, could 2Q and Q3 be fairly equally sized with Q4 being the larger of the final remaining 3 quarters, that would probably be a normal dynamic given where we're sort of coming in to start the year. I think Peter is confirming that. 
Peter Johansson: Yes. We'll generate more than half of the total sales and earnings in the second half of the year. 
Amit Dayal: Okay. I appreciate that. And just the last one, I guess, is around the mix of -- I guess, you indicated that already, but it looks like the mix in the backlog is leaning more towards higher margin revenues. Is that a fair assessment? 
Todd Gleason: Yes, I think we've certainly been pointing to that, and it's been demonstrating that for not just this past quarter but for a number of quarters now. We've seen gross margin expansion kind of consistently. Obviously, this quarter was a big step up. That, like I said, some positive timing benefits. But overall, was a mix benefit that we've been seeing, not just in our backlog, but in our portfolio overall. So that's right. Our backlog, we see the mix and margins in our backlog. And it's benefit year-over-year, and we expect it to continue to be. 
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would now like to turn the conference over to Todd Gleason for any closing remarks. 
Todd Gleason: Thanks for the questions and your interest in our information today. To start by, again, thanking global teams continue to deliver incredible value to our customers as we continue to focus being a leader of protecting people, protecting the environment, protecting our customers' investments and their industrial equipment. 
 A couple of updates. We're going to be presenting later this month at the Craig-Hallum Conference in Minnesota as well as in June at the Wells Fargo Industrials Conference in Chicago. And then the IDEA's East Coast Conference in New York, and the ROTH London conference. So if you want to meet, please contact your representative conference first contact, and we'd be glad to meet with you there, and we look forward to that. Obviously, we're available to connect at any time as well. And so we will be releasing our second quarter results, we expect, towards the end of July. And until then, we thank you, and have a great rest of your day. 
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect.